Vesa Sahivirta: Good morning, everyone, and welcome to Elisa's First Quarter 2024 Interim Report Analyst Meeting and Conference Call. I'm Vesa Sahivirta, Head of Investor Relations. And now we have a new team here, and I'm happy to introduce our new CEO, Topi Manner, who will call highlights of the Q1 report. And then, of course, we have CFO, Jari Kinnunen, and Jari will elaborate more on the financials. But now we are ready to start, so I give word to Topi. Please go ahead.
Topi Manner: Thank you. Thank you, Vesa, and good day, everybody, both here in the room and for those who are participating remotely, welcome to this quarterly earnings call of Elisa also on my behalf. As Vesa was alluding to, I have now been the CEO of Elisa for seven weeks. And prior to that, I served three years as a Board member of Elisa. And of course, in that capacity, I have been participating in the strategy formation of the company and looking at the company from the Board vantage point. Before this job, I spent five years in aviation and 20 years in financial industry needing to deal with all kinds of ups and downs. And the common denominator for all of the roles that I have had in these different industries has been that they have all had a significant technology components and they have all in their own ways dealt with digital services. Now when I have been spending the seven weeks in Elisa on the ground to meeting a lot of people, I must say that I'm really impressed by the culture of the company, the continuous improvement culture and the capabilities of our people. I have been participating in the strategy formation as a Board member, as I said. So together with the entire Elisa team, I'm committed to continue down the lane of long-term value creation that Elisa is known for. I think Elisa has a distinct strategy in many ways. And as stated, there will be a lot of continuity. But having said that, I do see further profitable growth potential both in our home markets in Finland and in Estonia and also internationally in the digital service space. And more broadly speaking, these growth areas, in my view, are related to the international software business that we are currently growing, but they are also related to IT services in our home market, cybersecurity, AI, clearly being on the rise. And I think that there's an opportunity to increase the share of wallet of Elisa in our Consumer Customer base with all kinds of value-added services centered around home in our customer base. So with that short introduction, let's look into the highlights of Q1. The headline revenue of Elisa during Q1 decreased by 1% or EUR5 million and this was predominantly due to business disposals. Decrease in equipment sales contributed with some EUR7 million and also the interconnection revenue needs to be taken into account. The business disposals, namely divestment of Videra and the discontinuation of Viaplay cooperation and then a very small increase coming from a Romaric acquisition. The net disposals amounted to some EUR8 million. So eliminating that, we saw a small increase in revenue. The interconnection revenue that amounted to €4 million. Related to that, we need to remember that, that is EBITDA neutral.So the comparable EBITDA was the highlight of the quarter, developed well with 4% amounting to €190 million. The mobile service revenue was strong and increased by 6%. In international digital services, we turn to small growth after a couple of challenging quarters. The overall economic situation in the international markets is still impacting this business. We have a strong order backlog, but customers are still somewhat delaying their projects. But toward the end of the quarter, we started to see things picking up. In Finland, postpaid churn improved and was around 15%. The postpaid subscriptions grew to 18,000 -- grew by 18,200 and that is including the machine-to-machine and IoT subscriptions that rose by 30,000 approximately. The fixed broadband subscription base increased by 3,300. We enjoy good momentum in 5G business. Our network has the best coverage in Finland. The population coverage now amounting to 93%. In Estonia, we are looking at a number of 76%. And last week, we had our AGM and the AGM decided of €2.25 dividend distribution per share. And with that, we have now 10 consecutive years of increasing dividend. So looking at the numbers in a bit more detailed fashion, I think that we already covered much of the revenue story. So when we look at the business disposals, when we look at the service number regulation change, that amounts to €1 million. The equipment sales decrease that is very much driven by the overall challenging macroeconomic environment and consumers and corporates being careful in their purchases and then the interconnection of €4 million. All of those decreases amount to €20 million, and that needs to be taken into consideration when interpreting the revenue development. The increases came from the mobile service revenue and from IDS. Improving the mix of the business that is visible in the EBITDA and the operating leverage. So the EBITDA improved -- the margin improved to 35.5%. And as stated, that was driven by the mobile services, mobile service revenue and also the efficiency improvements that we have started to do, started already in the beginning of the year. We see some of the impact in our numbers right now, but the bulk of the efficiency improvements will be visible in later quarters. The business disposals, while they decreased the revenue, they improved the EBITDA and the EBITDA mix. Mobile service revenue, as stated, was strong at 6%, and that was driven by ARPU, an increase of 6% in ARPU. And when we look at that, the ARPU is really coming from 5G up sales. So from 4G to 5G, that is the main driver, but also upselling within 4G is contributing nicely. The competitive situation remains keen. In 5G space, the competitive situation was largely unchanged. In the 4G, we started to see some campaigning from our competitors and some below-the-counter offers in that space. Our long-term approach, however, remains intact, and that means that we will be keeping our market shares in the connectivity business. So looking at the segment reporting. In Consumer Customers, when we interpret the revenue, we need to take into consideration the Viaplay end of contract, the equipment sales and the interconnection and the traditional fixed line services. EBITDA growth of 7% is certainly noteworthy. So profitability in this segment picking up nicely with the margin of 41%. In Corporate business, we saw a notch up in terms of the margin to 28%. EBITDA experienced some headwinds with 4%. Some of that is coming from the regulatory change related to the corporate numbers and then the rest from the IDS business. So as stated, our strategy has been distinct. And at the core of it, we have our mission, sustainable future through digitalization. We have our three strategic focus areas, and they remain intact. We want to increase our mobile and fixed service revenues in our home markets of Finland and Estonia. We want to grow in digital service businesses, both in Finland and Estonia as well as internationally. And then certainly, the continuous improvement culture that contributes to continuous improvement of efficiency and quality is a significant strength of the company, and that certainly needs to be nurtured going forward. So the migration to higher speeds continue. The overall message here is steady as she goes. So 52% of voice subscriptions are at speeds above 200 megabits. Customers value speed, and they are willing to pay for it. So the average billing increase when moving from 4G to 5G is €3 per subscription, and that has remained as it has been. So linear growth in this. We continuously see more and more phones being 5G devices, and that means that there is a lot of potential in the upselling story to continue going forward. So in terms of 5G capabilities, we already covered the network coverage. We already covered the billing increases when moving from 4G to 5G. What is noteworthy during this quarter is that we launched first services utilizing 5G stand-alone network. So the 5G stand-alone network as such, we already launched a couple of years back as the first operator in the Nordics. But now during the quarter, the first end devices that are capable of using the 5G stand-alone came to the market, and we immediately launched new services, 5G stand-alone subscriptions to the market. We have two subscriptions, 5G Plus with the price point of €49.99 and 5G Premium with the price point of €60. As stated, customers value speed and they are willing to pay for it. For the time being, these are not volume products because there are not that many end devices that are able to use the stand-alone network, but this still represents a continuum in our 5G upselling story and future potential. Customers benefit from the stand-alone network, 5G stand-alone network in many ways, more speed, better quality of the network, less energy consumption and thereby improved battery life in customers' phone. But one of the capabilities that the stand-alone network introduces is also so-called slicing capability. And for that purpose, we introduced a new product called 5G Omakaista, own broadband, which effectively means that the customer gets their own slice of the network, which is congestion-free and therefore not impacted by any other traffic in the network. So also getting and receiving good feedback from the customers for that product. These product launches are yet again underlining that we have a front-runner position in terms of utilizing customers and bringing -- utilizing technology and bringing value to customers. Expansion of fiber continued, and we also brought G.fast technology available for residential properties. So this is a local loop technology for very short distances and allows speed of building's copper indoor network to be upgraded to the speed of fiber. Then looking into the IDS business as stated. So we came back to growth on a year-on-year basis during the quarter, small growth of 2%. Customers are still delaying the projects. But toward the back end of the quarter, we started to see things picking up in important verticals like semicon industry and high-tech industry, which is especially important for our Industry software business. We have a strong order backlog. And therefore, we are able to repeat now the earlier stated view that we think that in the IDS business, the first half of the year will be still somewhat soft, but the second half of the year will be better in terms of revenue growth and on a full-year basis, we are expecting double-digit organic growth. In Elisa Polystar business, we saw a strong order intake during the first quarter, also a couple of interesting customer deals in Saudi Arabia with the local teleoperator called Zain KSA. They took some of our analytics software into usage, utilizing that in their 5G monetization and then cross-selling. 4iG Group is a Hungarian teleoperator. They have been purchasing the previous Vodafone Hungary business. And they are taking our whole network automation suite into use. In the IndustrIQ business, we continued with the organic growth strategy, but also with bolt-on acquisitions, buying a small company from U.S., from Salt Lake City called Romaric, strengthening our foothold in U.S. and also our product offering. And then we have now signed another acquisition, Leanware in Finland. Assuming that, that deal will be closed after the competition authority approvals later in the spring, we will be getting around 100 more colleagues from that business to Elisa. And the rationale of that acquisition is twofold, to strengthen our product offering in the IndustrIQ, especially with warehouse management software, and secondly, also bringing in some Finnish customers because in the IDS business, we haven't had many Finnish customers so far. Our DES solution, Distributed Energy Storage solution receives quite a bit of interest from telcos around the world. And we have now signed the first deal in this, the DNA Tower in Finland, part of Telenor Group announced their rollout of the solution. So therefore, we are seeing the first commercial deals in this space. We are in the startup phase with this solution, but we see good potential going forward. In the digital services, when we look at domestic digital services, entertaining video services there with Elisa entertaining original series, we are getting quite nice international attention with some of our series from CANNESSERIES and MIPDrama. The names of the series being The Icebreaker Valhalla Project and Money Shot. And then in the IT services solution, I think that it's worthwhile to mention that in the IT services space, our journey started some 10 years ago. And now when we look at the market that where we are offering solutions for our customers, hybrid cloud, workstation, management services, cybersecurity, AI and so forth, in that market, our market share in Finland is approximately 10%. So that basically tells two things. First of all, we have established our position on the market. Secondly, it clearly indicates that we also have possibility to grow in that market with the kind of concept that would be generating clearly above average profitability for the market. So therefore, we see growth opportunity in this space. Finally, related to sustainability. I mean this is very much in the core of our strategy. We have ESG indicators that we are following closely in our business. The baseline is set for the end '21 level. And now when we look at how we are proceeding toward the targets in terms of energy consumption, clear positive progress in terms of population coverage of -- of our high-speed connections, basically the same. Proportion of female supervisors stable. So clearly, we have more to do on this space. But it's noteworthy also is that our patent portfolio is developing nicely. We have been receiving quite a bit of recognition during the past months related to sustainability. Corporate Knights selected us as one of the top 100 companies worldwide around sustainability. And now recently, CDP that was originally established as Carbon Disclosure Project and now runs this environmental disclosure system. The A listed us. So this is the best category in their rating that we have received. After the quarter now in April, we received a €100 million loan, sustainability linked loan from Nordic Investment Bank, and that further accelerates our sustainability -- sustainability goals. So with that, I think that it's fair to say that it was a good start for the year. The highlights being the well-developing EBITDA and the mobile service revenue. And we are able to repeat our guidance. So meaning that we expect revenue to be at the same level or slightly higher than in '23. And the same goes for comparable EBITDA. We expect that to be on the same level or slightly higher than last year. In terms of CapEx, we expect CapEx to be 20% -- 12% to 13% of revenue. And here, it is important to note that our midterm target is to come back to the level of 12% of CapEx to revenue, meaning that we will be keeping our very focused and carefully prioritized way of doing investments also going forward as it contributes positively to free cash flow and cash conversion. So with that, I think that I'm able to stop here and hand over to Jari to go through the financials, and then we can take questions afterwards. Thank you.
Jari Kinnunen: All right. Thank you. So let's start with profit and loss. Year started well, especially in terms of earnings and, in fact, the best ever Q1 EBITDA in the history. But let's first go to revenue headline slightly down, minus 1% or €5 million. However, there are several impacts that -- well, less impact in the EBITDA. Starting with the interconnection price change beginning of the year, and that impacting €4 million in interconnection revenues, approximately same in interconnection expenses. So EBITDA-wise, no impact. General economic situation somewhat impacting to equipment sales. And there was €7 million negative change in equipment sales revenue. In Corporate segment, service revenues, positive development in mobile and both domestic and international digital services. However, that was sort of neutralized through Videra divestment impact. Also, there was a continuation of traditional fixed voice decrease and also regulation change in corporate numbers impacted negatively. In Consumer segment, strong growth continuing with mobile service revenues and very much upselling into 5G, also as mentioned by Topi as well also in -- inside 4G. Divestment or ending of Viaplay cooperation agreement last year had a negative impact in domestic digital services, in Consumer segment, also traditional fixed voice continued to decrease. EBITDA growth, 3.6%, well in line with mid-term financial targets higher than 3% growth and margin improved clearly to 35.5%. Reported EBITDA included €10 million one-off restructuring charge relating to personnel reductions. And like we said in Q4 report that we did some accelerated cost efficiency measures in the first quarter. EBIT -- comparable EBIT increased by 4.3%. Also EBIT margin improved to 22.8%. In financial expenses, there was change by €3 million -- €3.2 million, and that includes beside interest expenses, also a share of associated company profits, which impacting €1.2 million to that change. So the change in financial direct interest expenses was €2 million. EPS -- comparable EPS was same level as last year, €0.57.In Estonia, general economic situation had some impact in the revenue. There was a 5% decrease or €2.7 million decrease in revenue that was completely coming from lower equipment sales and also in Estonia, lower interconnection price impacted in Q1. Underlying service revenue, especially mobile service revenue is also in Estonia growing and developing well. Even though it's a decline in revenue, EBITDA progressed positively and increased by 1.2%. Also margin improved quite clearly to 31.4%. Operationally, good positive development in the mobile postpaid continued and 2,400 increase in the postpaid base. And churn continued at low level, 9.5%. Then moving to investments and the guided CapEx, excluding licenses, lease agreements and acquisitions was €58 million, in line with the guidance, and the main investments continue in mobile in 5G coverage extension and in the fixed side, fiber and IT investments. Cash flow was developing positively and continued to grow. Comparable cash flow, 21% increase to €82 million [ph]. Positive impact from net working capital change. And this is now fourth consecutive quarter with positive net working capital change, rolling four quarter change, positive at €30 million. Also lower license payments impacted positively and negative impact from higher paid taxes and interest and lower reported EBITDA. Cash conversion or EBITDA, comparable EBITDA cash conversion was improving clearly and was 69%. Balance sheet and the capital structure continues to be strong, and solid net debt-to-EBITDA at 1.7 times, in line with the target range and equity ratio of 43.8% in end of the quarter. And return ratios continued at a good level. Return on equity, 30.6%, and return on investments, 18.3%. In terms of financing, in March, we did repay €248 million bond. And in this month, agreed with new €100 million seven-year sustainability linked loan. And the current interest expense is at 2.8% to interest-bearing debt. And ATM decided on EUR 2.25 dividend paid in two installments and representing 4.7% growth against last year and being 10th consecutive growth here in dividends. And payout ratio, 95% and dividend yield, 5.4% against the share price end of last year. Additionally, there was authorization for maximum 5 million shares buyback, and all these confirming a strong commitment to competitive shareholder remuneration. Now I give word to Vesa, please.
A - Vesa Sahivirta: Thank you, Jari. And now we move on to Q&A part, and we start from the audience. And the first question comes from here. Sami, please.
Sami Sarkamies: Okay. Sami Sarkamies from Danske Bank. I have three questions. We'll take this one by one. First one goes to Topi. In the presentation, you mentioned home-related value-added services and corporate IT services as potential new areas of growth. How will you address these opportunities? Are you looking at partnerships? Will you be acquiring or will you be building the offerings yourself?
Topi Manner: I think that you should consider those three elements that I mentioned as indications of where I see opportunity. And right now, after seven weeks, it's too early to go into detail that what might that include in specific. But more generally speaking, we have an organic growth strategy supplemented by bolt-on acquisitions. So suddenly, we are utilizing that playbook in the IDS business. When the right opportunities arise, I could easily see something like that happening equally for Corporate business or for Consumer business. And partnering in general is something that I think that we need to be open for, have an open mind for. So this perhaps gives you a bit of flavor how I think in generic terms, and as stated to the specifics, we will need to come back later.
Sami Sarkamies: Okay. Second question, in Q1, there was maybe a bit unexpected step-up in the mobile service revenue growth. What sort of explains this? And do you expect the level to sort of taper off during the remainder of the year?
Topi Manner: Well, as stated, the mobile service revenue was driven by the ARPU growth of 6% and the 5G upselling, also the upselling within 4G. So that is the bulk of it. There's a little bit of a technicality in the mobile service revenue. So related to the mitigating actions that we took, related to the corporate number change, some of the revenue changed from fixed service to mobile service revenue, and that accounts for something like 1% unit in the mobile service revenue. So looking forward, we expect the mobile service revenue to be in the mid-single digits as we have been stating previously.
Sami Sarkamies: Okay. And then finally, maybe a question for Jari. I think you were guiding initially for about €5 million of one-off costs in Q1. The amount ended up being double that. So what explains the difference? And what did you actually do in Q1?
Jari Kinnunen: Right. So indeed, so that was estimation at that point of time. So we were just planning for the actions and the accelerations. And it turned out that we were finding more opportunities and the exercise was a bit larger than we thought in January.
Sami Sarkamies: Okay. And any examples on concrete actions you took in Q1?
Jari Kinnunen: Well, there were a lot of actions in different parts of the processes, different parts of the organization -- organizations. And this restructuring chart relates to reductions of number of employees as a result of these actions and approximately 130 reduction.
Sami Sarkamies: Okay. Thank you.
Vesa Sahivirta: Next question, Artem, please.
Artem Beletski: Yes, Artem Beletski from SEB. So welcome, Topi, and I would like to start also with a more strategic question, and I understand that key pillars will be still in place and intact. But maybe thinking about the acquisition strategy and, for example, looking at international digital services, which is still a fairly small business for you. How do you see the future of Elisa? Are you prepared to be more active in terms of potential M&A going forward? So maybe this is the first one.
Topi Manner: Well, I think that to start with M&A and focused M&A, bolt-on M&A with very clear criteria and the ultimate criteria being value creation for shareholders that has been part of Elisa's playbook previously. And now lately, we have seen some increase in that activity. And I would expect us to be active on the bolt-on M&A acquisition space also going forward. We have an organic growth strategy supplemented by bolt-on M&A in order to find growth for the business. But as stated, it always depends on what kind of opportunities emerge on the market, and we will stay disciplined with the criteria.
Artem Beletski: Yes, that's very clear. And the second and last question from my side is related to Distributed Energy Storage and just thinking about upgrading your own battery packs at base stations. We have been discussing it, for example, last quarter and so on. When do you expect this process to be completed, what comes to your own network? And what type of -- what is the magnitude of storage capacity you would be having at this stage?
Jari Kinnunen: Well, the upgrade of batteries, it is happening in several years' time. We started last year, continues this year and also next year. The capacity is 150 megawatts hour what we are building over the time.
Artem Beletski: Okay. This is very clear.
Vesa Sahivirta: The next question -- yes. Great.
Felix Henriksson: Felix Henriksson from Nordea. Topi, also welcome on my behalf. I have three questions. I'll take them one by one. Firstly, starting on pricing perhaps, the Finnish mobile market has been quite rational and you were able to introduce a number of 4G front book price hikes last year. So the question is how large of a contributor were those 2 MSR growth in Q1? And going forward, would you expect it to get tougher to drive price increases given the comments you made on campaigning and also inflation perhaps tapering down a little bit?
Topi Manner: So I mean when we break down the MSR growth, there's some impact from the price increases that were conducted earlier at the end of last year, but the bulk of the MSR is basically coming from the upsell. So 5G upsell as well as upsell within 4G.
Felix Henriksson: And what about pricing actions for this year? Would you expect to be able to implement sticky price increases as well?
Topi Manner: As stated, the competition is keen. And in the 5G space, it has remained as it has been. In the 4G space, we have been seeing some campaigning going forward. So when we look forward, when we consider our expectation of mid-single-digit growth for MSR, that will be coming from the upsell and then also from us keeping the market share in terms of subscriptions.
Felix Henriksson: Right. Then I guess the next question is to piggyback on that one. You sort of reported mobile postpaid net adds down some 20,000 in Finland, excluding machine-to-machine for the past couple of quarters. So could you sort of provide some color on this? And how much of this is due to competition, how much of the pricing actions you've taken? Any sort of color on this would be appreciated.
Topi Manner: Yes. So well, as stated, competition in the grand scheme of things, competition has been pretty much as it has been in the past. What we need to take into consideration and what Jari mentioned earlier is that during Q1, we carried out a number of accelerated efficiency measures. And during Q1, that meant that we were temporarily a bit more inward-focused than we would usually be or we would be right now when those measures have been conducted. And that also impacted some of our -- the timing of our sales and marketing campaigns. So in this respect, quarters are different. And then as stated, the bottom line is that we will be keeping our market share.
Jari Kinnunen: Also extending the change in the subscription base in that way that it includes also a substantial number of unused subscriptions. So there are -- in the customer base, there are subscriptions that are the very low usage or not used. And as there has been some price increases in the past, so these low usage subscriptions have been reducing. And also in this quarter, the change in the subscription base includes those kind of subscriptions as well.
Topi Manner: And the revenue impact of that has been very, very small.
Felix Henriksson: And then finally, I just wanted to revisit your thinking regarding CapEx for this year, as we are three months into the year, do you still believe that CapEx will return to 12% or below in 2025? And what are the sort of biggest buckets for CapEx for this year when it comes to fiber and 5G in that?
Topi Manner: So first of all, when we look at this quarter in terms of CapEx, you need to remember that the quarters are different. So that's one point. Now the temporary increase in terms of CapEx to 12% to 13% relates to the fact that right now, we have pretty attractive business cases for investment. For example, we stopped 3G network. And now we can use some of that spectrum for the purposes of 4G and 5G network, strengthening the network and making some investments on that space. Another opportunity that could be mentioned is the Distributed Energy Storage and the battery capacity example that was already addressed by Jari. So that is the story for this year. And then looking forward, yes, we do expect to come back to the 12% gap that we are known for.
Vesa Sahivirta: And next question, Kimmo, please.
Kimmo Stenvall: Yes. It's Kimmo Stenvall from OP Markets. Welcome Topi also on my behalf on Board. One question on the corporate side. I guess we are all happy with the EBITDA growth or the headline growth that Elisa is achieving. But digging into the corporate customer numbers, I think this is the fourth quarter that EBITDA is coming down year-on-year comparison. So is this something that you're willing to mitigate with the cost actions that you're now doing or is there any big growth opportunities also in this business? How do you tackle the current situation?
Topi Manner: So when we look at the Corporate segment in total, I think that we need to separate a bit between the Corporate business that we have in our home markets and then the IDS business. And IDS is in an acceleration -- growth acceleration phase. And the revenue has been -- as we just went through, has been impacted by the overall macro economy and those challenges internationally. But now we see the revenue picking up, and we see that, that will be picking up in a little bit more speed during the second half of the year. So IDS EBITDA challenge will be addressed through growth. And we expect to come back -- come to positive EBITDA in IDS at the end of '25 on run rate basis.Then when we look at the Corporate business on the home market, for sure, the challenging economic environment has been impacting a bit. So corporates are generally more cautious in making investments. The particular situation during one with the strikes in Finland impacted us a lot less than many, many other businesses out there, but it still had some impact. I think that we are talking about €1 million, €1 million to €2 million impact, indirect impact of less activity with the corporates. So also, revenue growth will be the -- will be on the agenda in home market Corporate business, AI, cybersecurity, IT services being examples of areas where we see profitable growth. But then for sure, these accelerated efficiency measures that we have taken, they are also impacting the home market Corporate business and will be visible in the segment figures during the quarters to come.
Kimmo Stenvall: Okay. Thank you.
Vesa Sahivirta: Okay. Any further questions from audience? Not at this point of time. So we ask first question from the conference call lines, please.
Operator: [Operator Instructions]. The next question comes from Andrew Lee from Goldman Sachs. Please go ahead.
Andrew Lee: Topi, and Jari and Vesa, I had two questions. The first question was just on IDS. So Topi, I think you said in your comments around IDS in the presentation that you expect IDS to get back to double-digit growth this year, but for the full year. So improvement in the second half, it's back-end loaded, but that you'd achieve double-digit growth for the full year. Is that what you said? Because I think previously, the commentary had been that you'd hit double-digit growth in the second half rather than for the full year. It would be good to just get a clear clarification on that. And then I know there's been lots of questions on bigger picture thinking on IDS -- I wonder if -- or kind of specifics on IDS. I wonder if I could just get a broader gist of what you're thinking on IDS. Do you think within that business unit, you're more likely to be acquiring than selling assets? And then just a second question on your mobile service revenue growth. Topi, you mentioned that most of the mobile service revenue growth comes from -- or the underlying mobile service revenue growth comes from upselling less from price rises. But I think you guys have said in the past that it takes around six months for price rises to hit revenues. So should we expect a greater support for mobile service revenue growth in the second quarter from price rises given you did some pretty big ones at the back end of the summer? Thank you.
Topi Manner: Thank you, Andrew, for those questions. So when we first address the issue of IDS growth during the full year, so yes, it will be back-end loaded for the second half of the year, but we see -- we do see things picking up, and we expect double-digit growth for the full year. So I hope that, that addresses the first question. Then the second question was more general about how I see IDS and especially our assets and the bolt-on M&A agenda. When we look at IDS, when we look at Polystar, when we look at IndustrIQ, I like the portfolio of assets that we have there. We have divested Videra recently. So with that, the portfolio of assets is of the kind that it has growth potential in my mind. And then certainly, many of our bolt-on M&As have been directed to IDS business. During the quarter, we announced Romaric in the U.S. and then Leanware in Finland. So with the bolt-on acquisitions, we are especially targeting the IDS space and looking to strengthen our offering and also looking to increase our geographical footprint and customer base internationally. And then the third one was around MSR and how we see the price increases there. So my earlier answer was very much about the front book impact. So that front book price increases, we will be seeing less of going forward. So predominantly, it will be coming from the upselling. And then I don't know, Jari, if you want to address the back book part of the earlier made price increases?
Jari Kinnunen: Well, we have said that overall mobile service revenue growth for this year as well is in the range of mid-single-digit growth. And that is what we like to continue saying. And for the individual quarters, there can be some differences for different reasons. But on average, we are in the mid-single digits mobile service revenue growth for the whole year.
Andrew Lee: Okay. Thank you, very much.
Operator: The next question comes from Oscar Ronnkvist from ABG Sundal Collier. Please go ahead.
Oscar Ronnkvist: Welcome Topi. So just the first one, just wanted to clarify on the fixed revenue, which I believe was a little bit lower in the quarter with a 3% decline following, I mean, a few quarters with pretty stable growth. So I think you mentioned that the mobile service revenue was a bit supported by sort of a shift between the fixed revenue and the mobile. So I just wanted to clarify, did you see like, you said like 1 percentage point on the mobile service revenue, was it like €2.5 million, €3 million or something that was shifting from the fixed revenue to the mobile service revenue? Or how should we otherwise see the decline in the fixed revenue? Thanks.
Jari Kinnunen: Yes. Indeed, we had a change in the corporate numbers regulation, and in order to mitigate the negative impact, we have made some product changes. And your conclusion is correct. So there is -- because of this change, negative impact in the fixed service revenues and positive in the mobile, and €2.5 million to €3 million what you mentioned is size-wise correct.
Oscar Ronnkvist: Okay. Just a follow-up. So -- and this will be an impact over the coming few quarters as well just on the growth side, I mean, before you're starting to lap this, right? So this is not just a one-off effect in Q1.
Jari Kinnunen: That effect is continuing, yes, during the year.
Oscar Ronnkvist: Excellent. Thank you. So just the next one. On the 5G stand-alone launch, I think it obviously open up -- opens up potential new revenue opportunities. And I'm specifically here thinking about the B2B applications also to further improve monetization. I think you mentioned network slicing, for instance, I'm also thinking about private network. So did you have any early indication on sort of demand from the B2B side on the stand-alone networks?
Topi Manner: Thank you, Oscar. So no, not really at this point of time. So it is very fresh. As stated, the devices that are able to handle and utilize the stand-alone 5G network basically came to the market in February. So we have the first use cases predominantly in the consumer space. But of course, you are quite right that those use cases are applicable in the corporate space, in the B2B space in a similar fashion, and we are working on those opportunities.
Oscar Ronnkvist: Perfect. Very helpful. Thank you.
Operator: The next question comes from Nick Lyall from Bernstein. Please go ahead.
Nick Lyall: It was two questions, please. Just going back to the fixed revenue. You just mentioned the €2.5 million impact from the corporate number change, but that still leaves about 3 percentage points or 4 percentage points of a decline versus the growth over the last two years. Where is the rest of the impact come from in the fixed revenue, please, for this quarter? It seems quite weak. And then the second point was just I think you mentioned in the presentation, Topi as well or Jari, I'm not sure on the benefit to EBITDA from asset sales. Could you just quantify that for us as well, please? Thank you.
Jari Kinnunen: Well, in fixed services, of course, traditional fixed voice is a long-term declining trend and there is a negative impact from that. Also some corporate networks areas have had a negative development, but the biggest ones relating to this corporate number regulation change and the traditional fixed voice decreasing. Could you repeat the second one?
Nick Lyall: Sorry, Jari, just on the -- I think you had mentioned there was a benefit to EBITDA from the asset sales. So presumably, things like Videra were maybe making mild losses. Could you just quantify the EBITDA benefit in the quarter from the asset sales, just to get down to the underlying run rate, please?
Jari Kinnunen: Yes, I'm not -- yes, okay, you are referring to the divestments of Videra and the change in the cooperation agreement regarding streaming services. So these are slightly positive in EBITDA. So that's what we can say about those.
Topi Manner: Yes. So the revenue impact of the disposals was €8 million net and EBITDA impact slightly positive.
Nick Lyall: Slightly positive. So it's a very, very small single digit, you think for EBITDA. Okay.
Jari Kinnunen: Yes.
Operator: The next question comes from Jakob Bluestone from BNP Paribas Exane.
Jakob Bluestone: Thanks for taking the question, and welcome as well, Topi. I had a couple of questions, please. Firstly, as you sort of described, I mean, it sounds like there's a bit more emphasis on moving into slightly more adjacent business areas, stuff like cybersecurity. I'd be interested in hearing a little bit, how do you measure success with this move? And what is it sort of specifically you're targeting? Is it accelerating EPS growth, more free cash flow? Just sort of if you can help us understand a little bit about how do you think about this move from a financial point of view? Secondly, you've made a comment a few times as you have -- as you guys have in the past on keeping the market share stable in mobile. But just sort of trying to understand a little bit what market share are we actually talking about given that you've got declining subscriber numbers, but then that's largely because of these nonpaying customers. So is it basically you're aiming for a stable subscriber market share x M2M and x these subscriber losses or what is that you're actually targeting? And it might just be helpful to sort of give us a little bit of a sense of how big are these nonpaying customer drags. I think this is now the second quarter in a row where you're losing 20,000 postpaid subs x M2M. And so just sort of helpful to understand that. And then maybe if I just sneak in a final one just around fixed line investments. I mean you talked about investing more into G.fast. I think most of the telcos are obviously talking more about fiber investments. So just curious about how do you think about investing more into fiber and fixed line. Thank you.
Topi Manner: Thank you. Thank you, Jakob, of those. So I mean, the first question about generally how do I think about shareholder value creation. I mean, first of all, what needs to be stated that we obviously have the strategic targets and the financial targets that we have communicated, and those will stay intact. Then more generally speaking, I mean, the bottom line is shareholder value creation obviously. And when we look at the shareholder value creation, EPS, obviously, is a good proxy for that shareholder value creation. And when you look at the valuation of Elisa and the multiples that we have, free cash flow and cash conversion certainly has been a big part of that story, also the very disciplined CapEx that we have been having. So these are significant strengths. So looking forward, also considering how to grow, for example, in digital services, we will be keeping these strengths and virtues in mind, and then we will be disciplined in financial management and decision-making. So I guess that would be the first part of the question.And then the second one that how are we sort of considering the market shares in terms of the connectivity business. There, I think that predominantly, we are looking at two numbers. We are looking at the market share in terms of revenue, and we are looking at the market share in terms of subscriptions. In revenue market share, especially given the 5G upselling, we are in a strong position in this market for sure. And then that is a position that has been consistently built over the years, and we will be staying on that track. We will be mindful of the number of subscriptions and our market share in that space, and we will be aiming to keep our market shares. But let's put it this way, that we are not obviously overly concerned if we are losing some subscriptions from nonpaying customers because they don't contribute to the revenue. So perhaps this gives you a bit of flavor of how we are thinking about this market share question. And then the final question was related to investments and G.fast and fiber. G.fast is a good use case. But there, we are not talking about significant investments. I mean those are not moving the needle in terms of CapEx. So it's a good added service for our customers and the customer value is the key point in that one. Of course, it can prolong the timing need of some of the fiber investments and enable us to optimize the fiber investments over time a little bit. But as stated, I mean, the impact of that should not be considered as something that would be really significant. And then more generally related to the fiber investments, I mean we have been announcing last year that we will be investing €200 million to fiber during the next couple of years. We make sure that we safeguard our long-term market position with fiber investments. We will be making considered fiber investments, especially in the high density areas of the country. And now we are especially targeting the SDU space with fiber investments around the country. So fiber investments will be part of our approach, and we will be making sure that, on one hand, we keep the long-term market share, on the other hand, we steer clear from potential over investments on the market.
Operator: The next question comes from Ondrej Cabejsek from UBS. Please go ahead.
Ondrej Cabejsek: Ondrej from UBS. Welcome, Topi. I've got one follow-up and a couple of questions. Just a clarification on the service revenue and the mitigation practice. You said you expect something like €5 million negative impact out of a €15 million revenue base in '23, and so we're getting exactly that number, if you're talking about like a 1 percentage point contribution growth on mobile service revenue. So that is fine. I just -- let's check the -- is there anything coming from interconnection as well as from fixed or is the entire impact coming from fixed? That was just one clarification, please.
Jari Kinnunen: Yes, the line was not very clear. I hope that I heard correctly. So the interconnection, interconnection impact as a result of reduced interconnection fee in Q1, approximately €4 million. And for the whole year, it's around €50 million. I hope that was the question.
Ondrej Cabejsek: And then one -- I hope I'm clear now. So I just wanted to follow up also on CapEx because there was a comment saying that the kind of 12% ambition or the return to 12% as a percentage of sales would be a medium-term target. But in the last quarter, basically, we've been told that the 13% CapEx to sales is at '23 and '24, a isolated event. So can you talk about maybe in more detail the outlook in terms of CapEx to sales beyond '24, please? And second question, if I may. If you can describe to us a bit the contribution from the two acquisitions that you've done or announced and in the IDS space in terms of are they already EBITDA positive, what kind of contribution can we expect on revenues and EBITDA for the full year from those 2, please? Thank you.
Jari Kinnunen: Yes. The CapEx guidance for this year is unchanged between 12% and 13%. And like we said already, in Q4 report that after that -- after this year, so we are targeting 12%, the midterm financial target 12% after this year. Regarding acquisitions contribution in Q1, the contribution was low. So in practice, EBITDA contribution zero and revenue contribution, a couple of hundreds of thousands. So it wasn't changing the numbers almost at all in Q1.
Ondrej Cabejsek: And maybe one quick follow-up on the IDS, please. So if the contribution was really small and with the very high base that you already had in 1Q, '23, you managed a positive result. Can we expect that this is probably the lowest growth rate that you expect in 2024 in terms of a quarterly number in IDS revenues?
Jari Kinnunen: Yes, as we've been saying that we expect the first half to be slower in IDS revenue growth and the second half growth to be stronger. So that is -- that view is unchanged, and we expect improvement throughout the year. So one could estimate that this is the lowest growth number.
Operator: The next question comes from Usman Ghazi from Berenberg. Please go ahead.
Usman Ghazi: I have two questions, please. I just wanted to -- first of all, it's a housekeeping question. Could you just remind us what the total impact or these total one-off impacts were in the quarter with no EBITDA impact? I think you mentioned around €20 million in the presentation, but I just want to confirm. So these were kind of €4 million interconnection headwind, €8 million from the Videra disposal, €2.5 million to €3 million from the regulation change, and I guess the remainder is coming from the end of the Viaplay agreement. But, yes, if you could just confirm those numbers, please? My second question, just going back to IDS. So I mean the amount that Elisa is paying for these bolt-on acquisitions, €20 million to €30 million, we've seen in Q4 and Q1 is quite high, I guess, relative to the financial contribution that we're seeing from these businesses. I mean, you mentioned that the EBITDA contribution is pretty minimal. So I just wanted to understand when you're paying these amounts, what is your thought process in terms of the multiples that you're paying for these businesses and the proof points that you mentioned, how quickly do you expect the proof point to become visible to investors as a result of this continued bolt-on activity? Thank you.
Topi Manner: Okay. So thank you for those questions. So related to the first ones, indeed, I mean those special items related to revenue in total amount to €20 million. So €8 million is coming from the business disposals and that is a net figure that includes Videra divestments and the end of contract with Viaplay. Equipment sales amounts for €7 million. The regulatory change related to corporate numbers, approximately €1 million. And the interconnection regulatory change amounted to €4 million. And the interconnection, as stated, is EBITDA neutral because the decreased revenue elsewhere in the P&L, we get the similar decreased cost.And then related to your more generic question related to how we are looking at the IDS business. We are in the scale-up phase of IDS at this point of time. And we will be addressing the profitability challenge predominantly through growth. Through organic growth, we expect to see double-digit organic growth for the full year and then through inorganic growth. And as we have been stating previously, we expect to come to positive EBITDA numbers at the end of '25 on run rate basis. So we see a medium-term attractive business case in the IDS that justifies the bolt-on M&A that we have been making.
Usman Ghazi: Just a follow-up on that. Could you perhaps indicate -- I mean, what is the return on capital kind of profile that you see for this business in the more kind of mid- to long-term once the profitability begins to scale up?
Topi Manner: Yes. I think that we will need to come back to those discussions as stated. For the time being, the items that I mentioned, they are the ones that we have been communicating. And that is basically the strategy and the plan that we are following as we speak.
Operator: The next question comes from Siyi He from Citi. Please go ahead.
Siyi He: I have two questions, please. The first one is on the corporate mobile ARPU. I think over the last few quarters, and we haven't seen corporate mobile ARPU grow. And one of the reason that -- comment on the conference call was the competition in the corporate area. But this quarter, we see ARPU grow by 4.6%. Just wondering if you can comment on the competition dynamics in the Corporate segment and whether we actually see an improved market dynamic and therefore, we should continue to expect the ARPU to grow a similar level to the Consumer segment? And the second question is on the restructuring costs. And looking in the past, it seems that you have done a bigger restructuring this year. And I was wondering if you can comment on which area that you lay off staff, for example, mobile, fixed or potential IT side of the business? And also wondering if we should expect this type of restructuring to become a norm going forward that you will run this kind of program each year? Thank you.
Jari Kinnunen: Regarding the second one, the restructuring. So as I said earlier, we made in different parts of the organization restructuring. And we -- there is no sort of one single process or source of the change or restructuring as such. But it is really be more efficient in the future in the different parts of the processes, utilizing more automation, utilizing AI, machine learning and having less silos and having a more efficient team. So it is many things that we changed. And it's not one single sort of part of the organization. So it was in the sales and production and different business units.
Topi Manner: And to build on that one, as you are saying, automation and AI certainly has a role in this. The productivity increases. And then the streamlining of the organization also addressed some of the managerial ranks in the company. And then that is, of course, not something that you would be doing every year. So that is not repetitive as such, whereas the AI and the automation bit is something that we certainly will be working on a continuous basis going forward.
Jari Kinnunen: Regarding corporate customers' situation and ARPU and I guess, competition situation, there hasn't been really big changes. Some customer cases where we see quite low proposals from the competition and we pick up the cases where we do things, but no major changes in the situation.
Siyi He: Thank you, very much.
Vesa Sahivirta: Okay. Thank you for all for your questions. I think we have used well over time. And so at this point of time, we say have a nice afternoon, and goodbye for now.
Topi Manner: Thank you for participating. Thank you.
Jari Kinnunen: Thank you.